Operator: Good day everyone and welcome to the Cengage Group Fiscal 2024 First Quarter Investor Call. At this time, all participants have been placed on a listen only mode and we will open the floor for your questions and comments after the presentation. It is now pleasure to turn the floor over to your host, Richard Veith. Sir, the floor is yours.
Richard Veith: Good morning and welcome to Cengage Group’s fiscal 2024 first quarter investor update. Joining me on the call are Michael Hansen, Chief Executive Officer; and Bob Munro, Chief Financial Officer. A copy of the slide presentation for today’s call has been posted to the company’s website at cengagegroup.com/investors. The following discussion contains forward-looking statements within the Safe Harbor provisions of the US Private Securities Litigation Reform Act of 1995. Such forward-looking statements can be identified by words such as believe, expect, may, will, estimate, likely and similar words and are neither historical facts nor assurances of future performance and relate to future results and events and they are based on Cengage Group’s current expectations and assumptions. Because forward-looking statements relate to the future, they are subject to inherent uncertainties, risks, and changes in circumstances that are difficult to predict, and many of which are outside of our control. Many factors could cause our actual results and financial condition to differ materially from those indicated in the forward-looking statements. You should consider such factors, many of which are subject to the risks and uncertainties discussed in the slide presentation, which accompanies this call, and in the Risk Factors section of our fiscal 2023 Annual Report for the year ended March 31st, 2023 as maybe updated by our quarterly reports for fiscal year 2024.  Any forward-looking statement made in this presentation is based on currently available information. The company disclaims any obligation to publicly update or revise any forward-looking statements, except as required by law. On today’s call and in our slide presentation, we will refer to certain non-GAAP financial measures. Definitions and the rationale for using these measures and reconciliations of each to its most directly comparable GAAP financial measure are provided in the appendix to the slide presentation. I’ll now turn the call over to Michael for an update on the business, followed by Bob, who will take you through the first quarter details before we open the call to questions. Michael?
Michael Hansen: Good morning, everyone. Thank you for joining us for our fiscal 2024 first quarter business update. We are pleased to share our results and continued progress against our strategic objectives. First and foremost, fiscal year 2024 is off to a very solid start. We have continued the momentum we built throughout a strong fiscal 2023. Our team continues to effectively execute our long-term growth strategy, and it is showing in our results. In the first quarter, we generated solid topline growth across each business unit in our portfolio. The health of our business is strong. We have proven to be highly resilient against economic and inflationary pressures. Cengage Academic is up 6%, Cengage Work is up 25%, and Cengage Select is up 7% year-over-year. Although it's still early in fall season, our order books and sales pipelines in Cengage Academic are developing well and align with our growth expectations for the year. Our US Higher Education business is experiencing strong momentum in institutional sales and digital offerings. We expect this to drive progressive improvement and return the business to overall growth within the next two years. Cengage Work is seeing accelerated growth from fiscal 2023 with investments in Ed2Go and InfoSec paying off. As planned, Cengage Work is on track for a profitable fiscal year 2024 with $2 million ELT contribution in the first quarter. Our ready-to-hire platform had a successful first quarter with healthcare pilot partners hitting key program milestones. One pilot partner selected all 10 of their pilot candidates with initial results showing improved hiring ratios, shortened time to hire, and shortened onboarding time, showcasing the impact ready-to-hire can have for employers in the healthcare field. A second pilot partner welcomed its first program candidates in June. Pilot Healthcare providers have renewed their ready-to-hire agreements, with more work ahead in supporting these companies and closing our skilled talent gaps. Cengage Select's momentum continued through the first quarter, driven by our English language teaching business, where we also see strong digital momentum following the launch of our new global learning platform Spark. We continue to strike a balance between strategic investments and cost savings to deliver solid profit growth. Earlier in the quarter, we announced a strategic investment in our Intro to Computing courses that will make it easier for students to clearly articulate proficiency across a range of basic computing skills often required by employers. Through Accredible, a digital credentialing platform, students who complete assessments and demonstrate proficiency will earn digital credentials that can be added to digital resumes online portfolios or LinkedIn profiles at no additional charge. Our focus on customer support and the service experience continues to be a clear differentiator. During the first quarter, Cengage was recognized for the sixth consecutive year by the Customer Relationship Management Institute with a Top Customer Support Award. The award is based solely on customer feedback and recognizes organizations whose exemplary service to their customers is consistently reflected in satisfaction survey results. I speak for all of us at Cengage Group that we are proud of our commitment and investment in our best-in-class service experience. As I mentioned during our Q4 update in June, we are developing specific product enhancement and productivity features using generative AI. In the past 60 days, we have developed several concepts and will start to test these in market this month. Our US Higher Education business will introduce an AI assistant to enhance student learning in our website math readiness boot camps. The AI assistant is grounded in Cengage content and will provide step by step guidance aligned with course learning objectives. The AI assistance will offer individual recommendations based on student performance in several languages, ensuring the student continues to progress. In addition, to product enhancements to advance the way students learn, we are also launching generative AI-powered enhancements help instructors with time-consuming tasks such as syllabus creation, summarizing content, curriculum mapping, and evaluating narrative content. This free chatbot is aligned to a specific course area and will include an educational package to help instructors understand how to optimally use generative AI. This enhancement will be available to US Higher Ed instructors this fall. With these enhancements released as pilots, we will learn from customer use continue to iterate on each offering with the aim of developing the best solution in the market. While these tools are initially focused on the US Higher Ed market, we are developing them as a common foundation that can be scaled across businesses and markets as we gain further understanding of how they can best be applied. Our recent Apollo investment is a catalyst for accelerating our strategy and growth over the medium term. The $530 million Apollo-led preferred equity issue has significantly deleveraged our business and provided us with the financial flexibility to support our strategic growth initiatives and continued evolution of our operating model. We are already leveraging Apollo's deep sector expertise, resources, and market position to accelerate our business. We have appointed two Apollo Directors to our board and recently welcomed a new independent Director Dr. [Indiscernible] further strengthening our Board expertise. In summary, recognizing that the first quarter is a small quarter, we are very pleased with our continued momentum and solid financial and operating performance. We are on track to grow adjusted cash revenue and profitability. These results and our improved capital structure will support our long-term growth plans. Over the last three years, we have achieved a financial performance that has been unparalleled since the spin out of the company from Thomson Reuters 16 years ago. Not only are we seeing this momentum continue, but we are also focused on building and improving on this track record. More to come in future quarters. I will now hand the call over to Bob to share more details about our first quarter results.
Bob Munro: Thank you, Michael, and good morning. Starting with the Cengage Group financial highlights, we've had a good start to our fiscal 2024. Our adjusted cash revenues for the first quarter were $270 million, up 8% over the prior year. Growth is underpinned by continued momentum in digital, with digital net sales at 10% to over $1 billion on a 12-month trailing basis. Our first quarter adjusted cash ELPP was $3 million compared to $1 million in the prior period. The first quarter is the smallest quarter in our business cycle, generating less than 20% of annual revenue and nominal profit contribution. This reflects the inherent seasonality of our business, which combined with changing channel and customer demand dynamics, driven in part by our digital strategy, typically results in higher variability in Q1 year-over-year performance. In this quarter, our revenue growth benefits from net favorable order timing effects, notably in our secondary and English language teaching businesses, which I will come on to. Looking through this, the group results reflect a continuation of the overall underlying positive momentum we saw across the business at the end of fiscal 2023 with Q1 revenues and sales orders and pipelines developing in line with our full year expectations which are unchanged. Turning to our segments, you can see that all business units contributed to this strong start. In Cengage Academic, adjusted cash revenue was $140 million in the first quarter, up 6%. Growth was driven by a very strong quarter in secondary, while solid underlying performance was boosted by significant favorable sales order timing. In Cengage Work, adjusted cash revenues were $30 million, up 25% with both the Ed2Go and Infosec businesses performing well and accelerating growth coming out of fiscal 2023. In Cengage Select, adjusted cash revenues were $93 million, up 7%. This was driven by a very strong start to the year in English language teaching, which also benefited from sales order timing on top of strong underlying growth. In Cengage Academic, adjusted cash revenue for US Higher Ed for the quarter reached $73 million with sales being held back by timing of channel orders. Adjusting for these timing shifts, which we have seen reverse in Q2, first quarter revenues would have been broadly flat to prior year, an encouraging start to the year. Whilst it remains early in the Q4 selling season, we are seeing good momentum through our sales pipelines, particularly in our institutional business. This supports our expectation of improved underlying net sales performance in fiscal 2024 compared to last year, before any enrollment impacts. And our belief that the US Higher Ed business is on a trajectory to return to overall growth over the next couple of years driven by our digital strategy. For International Higher Ed, adjusted cash revenue for the quarter was $21 million, 3% behind the prior period. This reflects order timing in Asia and lower sales in the Europe, Middle East, and Africa region following actions we took to stem reimportation into the US. These pressures were partially balanced by positive momentum in India, driven by test prep growth, increased digital adoption in Canada, and strong sales in Latin America. Our sales pipeline is continuing to build and we expect international Higher Ed growth to recover in the balance of the year. Our secondary business finished an excellent quarter with adjusted cash revenues up 39% to $45 million. This includes significant order timing effects, reflecting actions we took to successfully mitigate supply chain issues experienced last year, and also early ordering from customers. Beyond the timing effects, we're seeing continued strong underlying momentum in the business. This core middle school and high school sales more than doubled on the strength of our social studies offerings with notable wins in key states. For the full year, we expect growth to moderate and revenue to flatten. With the strong growth we are expecting in core middle and high school programs, along with AP and CTE, offset the impact of the large Florida method option in fiscal 2023. In Cengage Work, strong acceleration in revenue growth in the final quarter of fiscal 2023 has been sustained through Q1, driving trailing 12-month revenue growth to 17% compared to 13% growth in fiscal 2023. In Ed2Go, demand for our advanced career training courses and our core health care offerings remains high, with net sales up 32% in the quarter, principally driven by enrollment increases with pricing strategies improving yield per course. Enrollment increases are underpinned by academic partner and reseller strategies and successful implementation of new commercial models. At Infosec, net sales growth was 12% in the quarter, reflecting strong double-digit growth in software sales, and solid growth in boot camps, which has a strong confirmed order back and sales pipeline. But was temporarily held back by the timing of course delivery. The ready-to-hire business is progressing well, with the expectation that it will modestly contribute to revenue in fiscal 2024, while we continue to invest in and grow this offering. It is notable that Cengage Work moved firmly into profitability in the quarter, after breaking even in the fourth quarter of fiscal 2023 with adjusted cash ELPP reaching 2 million. This reflects the investments we have made to scale the business and its inherent strong unit economics. For the full year, we expect to sustain strong revenue growth and profit momentum with the full year revenue growth meaningfully accelerating over fiscal 2023 in Work, whilst moderating in the second half against stronger comparatives. In Cengage Select, English language teaching had a great start to the year, with adjusted cash revenues of 31% in the first quarter to $32 million. This reflects the combination of sustained strong underlying double-digit growth, consistent with our expectations for the full year, amplified by favorable sales timing effects. Sales in the US more than doubled over the prior year driven by wins in large K-12 school districts, while Latin America and Europe, Middle East, and Africa regions maintained double digit growth. The successful launch of our Spark platform is driving sustained growth in digital with digital users growing 23% over the prior year. Research achieved adjusted cash revenue of 447 million, flat to the prior year due to the timing of renewals with a number of large customers signing renewals in early July compared to June last year. Taking account of these timing effects, the research business is sustaining its growth momentum from fiscal 2023 and is on track to deliver another year of solid growth. This is underpinned by overall renewal rates, which remain strong at 95%, and a healthy sales pipeline for US academic and K-12 sales. In the other segment, adjusted cash revenues were $14 million, down nearly $2 million from prior year. Whilst the Australia K-12 business continues to face headwinds, the Q1 performance was impacted by a shift in export sales from June to July. Before this shift, other revenues would have been broadly flat with growth in Miladys offsetting underlying weakness in Australia. Turning to cash flow, levered free cash flow for Q1 was an outflow of $165 million compared to an outflow of $138 million in the prior year. Cash utilization in Q1 principally reflects the normal cycle of the business, which is impacted by the relative timing of royalties, annual incentives, and other expense payments, which largely drive the change in working capital. Working capital remains temporarily high at the end of Q1, reflecting the intentional buildup of inventory to mitigate backorder and supply chain risks ahead of the key fall selling season and due to higher accounts receivable than a year ago. We expect these temporary impacts to progressively unwind over fiscal 2024, driving meaningfully improved operating cash conversion compared to fiscal 23. Turning to our balance sheet and capital structure. The business has maintained a strong liquidity position with total cash at the end of the first quarter of $103 million and total liquidity of $197 million, including our undrawn ABL facility. As we are now beyond our seasonal low period in June-July, our cash and liquidity positions are expected to progressively build in the balance of the year, driven by the inherent strong cash generation dynamics of the business consistent with patterns in previous years. As we previously reported, the balance sheet was significantly deleveraged in the quarter following the preferred equity issue which was completed on May 22. The net proceeds of $503 million were used to redeem $500 million of outstanding notes in June, and we expect to address the remaining $32 million of notes over the coming months. With the benefit of the preferred issue and growth in profitability, net leverage was 4.4 times at the end of the quarter compared to 6.6 times at the same time last year. Under the terms of the preferred equity issue, the company can elect to fulfill dividends payable at 10% quarterly in arrears, in cash or payment in kind. The first quarterly dividend of $6 million covering the partial period from completion in May to June 30, was paid in cash in early July. We will assess future dividend payments in context of our strategy and overall related liquidity requirements. To close, we are reconfirming our guidance for full year fiscal 2024. We expect Cengage Group to deliver another year of steady growth in adjusted cash revenue with growth rates in academic and select moderating compared to fiscal 2023 and Cengage work accelerating We anticipate solid ELPP expansion whilst at least maintaining our ELPP margins and expect the operating cash performance to normalize as temporary working capital positions unwind as the year progresses. We will provide an update with more detailed guidance during next quarter's call with the benefits of the results of the fall selling season behind us, which we go into with strong sales and business momentum. Thank you.
Operator: Thank you. That concludes our Q&A session. I will now hand the conference back to CEO, Michael Hansen for closing remarks. Please go ahead. I will now be handing the floor over to Bob Munro, CFO, for closing remarks. Please go ahead.
Bob Munro: Thank you. I'd just like to say thank you for everybody attending this morning and listening to our Q1 update. We look forward to speaking again in a few months' time with the fall season behind us and updating you on the continued sort of progress of the business. Thanks, everybody.
Operator: Thank you, everyone. This concludes today's event. You may disconnect at this time and have a wonderful day. Thank you for your participation. Thank you.